Operator: Thank you for standing by. My name is Jordan, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Orezone Third Quarter 2025 Results Webcast and Conference Call. [Operator Instructions] I'd now like to turn the call over to Patrick Downey, President and CEO. Please go ahead.
Patrick Downey: Thank you, and welcome to Orezone's Q3 2025 Conference Call and Webcast. Today, I am joined by Peter Tam, Executive Vice President and Chief Financial Officer. I'd just like to draw your attention to the forward-looking statements and then we'll move straight into the conference details. So gold production for the quarter was 23,371 ounces. Always in Q3 is stated to lower production, and we'll walk through that later on, and on track -- but we are on track to meet our 2025 guidance of 115,000 to 130,000 ounces. Gold sales were 20,350 ounces for the quarter at an average realized price of $3,375 an ounce, resulting in $68.9 million in revenue. This was somewhat affected by the late sale of about 4,000 ounces of gold -- 4,942 ounces of gold into Q3 due to weather event, which caused a late shipment of that gold. All-in sustaining costs were $1,958 per ounce sold. And they were really impacted by external factors such as the royalties and FX and also obviously, the late sale of the ounces into Q4 and somewhat by the weather, which we always see in Q2 and Q3. On our balance sheet, very, very strong financial position, cash and bullion at the end of the quarter of $104.2 million, undrawn senior debt of $11.1 million, senior debt of $80.1 million and we continue to add to the balance sheet with our strong Q4 production to date into a rising gold price and our diminishing CapEx in the quarter. And very importantly, our hard rock expansion is on schedule and slightly under budget, which is a great achievement, which I'll talk about later in the presentation, with the first gold expected in early December. And that is really a testament to the team once again delivering our project on time and on budget. So really a great outlook for Orezone and Stage 1 major CapEx is now essentially complete. Our gold production will increase approximately 45% with the start-up of Phase 1 hard rock into 2026. Q1 2026 should be a major free cash flow inflection point as we mine the higher grade hard rock from 2026 onwards. So I'll now hand over to Peter Tam, who will go through the production and cost data for Q3.
Peter Tam: Thank you, Patrick. Yes, our production and unit cost summary, during the third quarter of 2025, mining was affected by the longer-than-average rainfall event, which slow pit operations. 4.5 million tonnes were mined in the quarter as access to higher-grade zones were delayed, which impacted feed grades to the mill. Higher mining rates have now resumed in the fourth quarter as the rainy season has now ended. The mill treated 1.52 million tonnes in the quarter as the plant continues to perform well and above nameplate. Operating hours were reduced by 2.5 days for the annual ball mill reline in July, which should lead to greater tonnes processed in the fourth quarter. When comparing costs to the prior year, cash cost per tonne was higher due to the strengthening local currency, which impacted costs across all departments. Similar to the pattern in 2024, grid utilization improved to 88% this quarter, a significant improvement from 50% in the second quarter, helping to reduce processing costs. We are already seeing better gold production in Q4 with 13,296 ounces produced in the first 42 days with a further uptick expected before the end of the year from the start-up of the new hard rock plant and the processing of higher-grade hard rock reserves. Next slide. For financial and operating highlights, Q3 was another profitable quarter with earnings from mine operations of $26.5 million and net earnings attributable to Orezone shareholders of $5.4 million. Earnings were impacted by the lower-than-planned gold production and from the delayed export and sale of a quarter end gold shipment into early October. Had the shipment sold in September, a higher average realized price and lower all-in sustaining cost per ounce would have been achieved in Q3 from the sale of more ounces at a better gold price. Q4 metrics will benefit from the sale of these additional ounces. Overall, liquidity remains healthy at quarter end with cash of $85.3 million, which is expected to increase from current levels by year-end from the sale of more ounces at better gold prices. With that, I'll hand it back to Patrick.
Patrick Downey: Thanks, Peter. So into our 2025 outlook. Our all-in sustaining cost guidance has been revised to reflect essentially external factors and the balance, but all the balance of our guidance remains unchanged. Our revised all-in sustaining costs go from $1,700 to $1,800 from previously $1,400 to $1,500. And this really reflects the impact of higher government royalties as a result of the higher gold price and higher royalty rates. Our original guidance was based on $2,600 per ounce gold price at the beginning of the year. Our stronger XOF currency has been impacting costs as well to approximately $80 to $90 per ounce over the year. And we had some reduced power availability due to a fire in a substation with our grid supplier, which did affect costs somewhat in Q2. So our guidance for the year remains at 115,000 to 130,000 unchanged. All-in sustaining costs, as I said, what we expect up to the 9 months was $1,709, and we expect it to be within $1,700 to $1,800 for the remainder of the year. Sustaining CapEx, growth CapEx, et cetera, all remain unchanged, which again is a testament to the team and how we control costs. And really, over the past 3 years, despite inflationary pressure and exchange rate issues, et cetera, I want to really emphasize that our cost per tonne has barely changed year-on-year. So we really remain focused on our cost -- input cost into the production of our ounces. So 2025 has really become a really significant transition year for us stage 1 hard rock is essentially complete. I'll show you some photographs of that. Commissioning has commenced, and we expect to feed ore to the crusher this week. 2026 production will be approximately between 170,000 to 185,000 ounces. And I also want to emphasize that once you go into the hard rock mining, we will generally eliminate those production lumpiness that we see in Q2 and Q3 due to the wet season because we were transitioning from a purely oxide mine to an oxide hard rock where you can work in the pit bottoms, et cetera. So that will reduce that lumpiness that we see year-on-year. Stage 2 hard rock, which will bring us to 5.5 million tonnes per annum and a production rate of about 220,000 to 250,000 ounces. Detailed engineering has commenced. Key long lead items have been ordered. We are adopting a measured capital investment strategy as we wait for the outcome of the WAF government negotiations on the Kiaka transaction. But once complete, it will be one of West Africa's largest mines. So it will be with a long, long. So really a very, very significant cash flow producer in the years ahead. So Stage 1, a bit of a graphic on what it looks like. The oxide is to the right in gray. Again, on schedule and likely under budget. We've essentially completed all of our CapEx. We're really just into the final stages of commissioning. So again, a testament -- we built the oxide on time, under budget. We built this one on time, under budget. So again, a testament to the team that we have on site and how we look after our cost and look after our schedule, et cetera, going forward. One of the few companies out there capable of doing that. Hard rock mining has commenced, and we have a significant amount of stockpile ready to go. I expect first ore into the crusher either today or tomorrow, which will be a big event for us. We will then start making our stockpiles for feed to the mill. First gold is expected in early December, and we expect to announce commercial production in early Q1 2026, which will put us at that run rate of 170,000 to 185,000 ounces per year. So a few photographs here. That's the dump pocket with a large ROM pad. We will have a lot of stockpile there. We'll have ore coming from various pits, so we'll be able to blend and get the best feed to the plant. As I said, I expect the first dump into that dump pocket today or tomorrow. We'll then start building up our ore stockpile. And then from there, we will start feeding ore to the mill. Mill, all liners are in. We've energized the mill. The key there will be commissioning the variable frequency drive, which really gives you the operational optimization around the mill throughput. That will happen this weekend, and then we'll start feeding ore to the mill and straight into the leach circuit. The leach circuit is 24 hours. So we do expect first gold very, very soon after feeding ore into the leach and start loading carbon onto the gold onto the carbon for stripping. We will continue to feed tailings into TSF Cell 1 for the next year or 2. But TSF Cell 2 now, earthworks are essentially complete. That is designed for the life of mine Phase 1 and Phase 2. So we align that in the coming months before the start of next year's rainy season. So we'll have a full platform for tailings for the life of mine. And as you can see, the hard rock mining fleet is on site, and we'll start hauling ore from P17. We've done the drill and blast -- drill for the drill and blast. We expect to start blasting next week, and that will be the high-grade ore feed to the mill once we've got commissioning complete. So outlook. 2025 has really been a great year for us, completed Stage 1, done all of our major growth projects. Again, a lot of exploration this year, a lot more to come. We expect to put out a lot of exploration results at the end of this year. We've just completed a geological structural interpretation of the whole ore body, which will open up more exploration for us. I think our team speaks for itself in terms of how we've delivered both on cost and on schedule on budget. Excellent near-term growth and cash flow, a very, very strong balance sheet. As I said, $88 million at the end of Q3. And with Q4, with the strong production that we have to date, plus a strong gold price and diminishing CapEx going to the end of Stage 1, we expect to exit 2025 with a very, very strong balance sheet. We remain very undervalued to our peer group. Our PNAV in terms of consensus is 0.3 versus our peers of 0.7. Our EV to EBITDA, again, consensus for 2026 is 1.5 versus our peers of 4.4. We are well positioned for index inclusion, and we do continue to look for growth opportunities as we have significant cash flow coming out of Bomboré in the coming years. So a very exciting year for us, strong year for us, and I expect it to be a very strong finish. Thank you. I will pass the mic to the operator.
Operator: [Operator Instructions] Your question comes from the line of Jeremy Hoy from Canaccord Genuity.
Jeremy Hoy: First one for me, just wondering on the spending for Stage 2 and this WAF, the ongoing WAF agreement or the ongoing WAF discussions. To me, it sounds as though suspending on Stage 2 might be suspended until they come out with a resolution. Is that the case?
Patrick Downey: No, it's not the case. We are spending, and we are doing some critical items. What we really have done, Jeremy, is focused on areas that we know will add value to Stage 1 very soon. So things like an oxygen plant, thickener, et cetera. So we're going ahead with that. We've still got the ball mill in order, and we haven't canceled that at this time. So we still have all that in place. We just slowed down the engineering a bit. We are doing work. So we will keep the contractor on site for some of that work going forward. We expect a resolution very soon, and that will give us the mandate to make that decision, I would expect very soon.
Jeremy Hoy: Okay. Got it. So you're not really anticipating any major disruptions to the schedule there for Stage 2 then?
Patrick Downey: Yes. I think it will definitely affect schedule somewhat. But what that quantum is, I don't know. Our guys are pretty magical at doing things. If you really look at Stage 1, we started digging out the foundation for the concrete in November of last year. And here we are putting ore through the ore body in November of this year. So 12 months later, we're feeding over to a mill. So we're pretty good at it as how we do it. But I would expect if it continues that longer that it will have some effect on schedule, yes.
Jeremy Hoy: Yes. Okay. We'll watch for a resolution there. Are you able to share your level of optimism on discussions there? Or is that just out of your purview?
Patrick Downey: That's out of my purview at this point, really. So it's really -- I'm glad there are discussions. It seems to be going on. So it means there are discussions, and that's positive, but we'll have to wait for the final resolution here when it happens.
Jeremy Hoy: Yes. Okay. Totally appreciate that, Patty. Okay. Well, looking forward then, we had discussed when we were on site a few months ago, the structural work that you guys were doing and the hope that it might result in some new targets, particularly for some higher grade shoots within the mineralized zone. Are you able to share any details on what you guys have seen from that, if there are any particularly promising targets that you guys are looking to drill out and we might see results from in the near future?
Patrick Downey: Yes and yes. So yes, we are. And yes, you will see results in the near future.
Operator: That concludes the question-and-answer session. I will now turn back the call over to Patrick Downey, President and CEO, for closing remarks.
Patrick Downey: Well, thank you. We're happy to get Q3 completed, and we're into Q4, another strong quarter looking like in Q4. And we're really looking forward to 2026 as to when we get into a very, very strong free cash flow year and growth beyond that. So it should be a very, very exciting future for Orezone. Thank you.
Operator: This concludes today's meeting. You may now disconnect.